Operator: Good afternoon, and welcome to Stolt-Nielsen's 2024 Fourth Quarter Results. As always, the earnings release and related materials are available on our website. We will also be recording this session, and it will be available from tomorrow. Included in this presentation are various forward-looking statements. Such forward-looking statements are subject to risks and uncertainties, and we refer you to our latest annual report for further details. I'm Alex Ng, Vice President of Corporate Development and Strategy. Joining me today is Udo Lange, our CEO; and Jens Grüner-Hegge, our CFO. At the end of the presentation, there will be a Q&A session. We'll be taking questions both in the room and online. [Operator Instructions] Thank you. And over to you, Udo.
Udo Lange: Yes. Thank you so much, Alex, and welcome, everyone, and thanks for joining us. We are really pleased to present our Q4 results to you today and to be able to share this with international participants online as well as usual. I will begin our presentation with an overview of the group's results for the fourth quarter and the full year and share some key highlights. Jens will then cover the financial results before handing back to me to run through the performance of our divisions, our view of the market outlook and a few closing remarks. I'm really delighted to present these results and our key achievements for the final quarter of 2024. We have delivered a steady Q4 with strong financial performance once again, despite fluctuating market conditions. And we continue to progress our Simply the Best strategy. Before we get into the detail, I want to thank all our employees for the dedication to delighting our customers and for their strong commitment to safety. In terms of the results, we achieved a strong performance in the final quarter of the year with EBITDA over $200 million for a sixth consecutive quarter to cap off another strong year. We see robust results across our liquid logistics operations underpinned by favorable tanker markets. Performance at Stolt Sea Farm has also been strong with firm pricing across turbot and sole. And as you know, we are investing for future growth across our divisions. Investing in our fleet, adding four C4s currently on long-term bareboat and buying the remaining 50% stake in our eight vessels for the C33 joint venture, expanding our terminals footprint, we completed 70,000 cube expansions of our Malaysian terminal, increasing the capacity by a third. And strengthening our exposure in the LNG sector through the purchase of our partners' shares in Avenir. We continue to be focused on balance sheet management, which allows us to fund the investment needs of our divisions to facilitate future growth, meet debt service obligations and provide dividends with ample headroom. Sustainability is important to us and we are delighted to have been recognized in this area by EcoVadis, achieving market leading gold ratings for each of our logistics businesses during 2024. Let's now turn the page to review our key performance drivers at a more granular level. Overall, we are pleased with the fourth quarter, which caps off another strong year. Q4 overall has seen steady performance with a number of key metrics in line with the prior year. Operating revenue was 2% up, whilst EBITDA was over $200 million for a sixth consecutive quarter. Operating profit was down $9.6 million. Although, our results for this quarter have been impacted by a $6 million impairment we took on our HiGas investment. Free cash flow is lower this quarter, as you can see at the bottom, reflecting higher capital investment for growth across our four businesses. And finally, we continue to improve our net debt-to-EBITDA ratio, which currently sits at 2.2, giving us significant financial flexibility and a strong liquidity position. Moving to the full year picture, it's been another strong year. Tankers, Terminals and Sea Farm all delivered improved EBITDA performance year-over-year, offset by softer FTC performance due to the competitive freight market. These numbers show our underlying performance as we compare to prior year figures that excludes a significant one-off items we experienced last year as a result of Flaminia. I'm proud of the team at Stolt-Nielsen for navigating these volatile markets. You can see how our Simply the Best strategy and focused execution is allowing us to capitalize on varying market conditions and deliver exceptional underlying performance. Sustainability is important to us, and we continue to make good progress in this area during the 2024 financial year. In fact, we are delighted that our achievements and efforts in sustainability were recognized externally as we were awarded gold ratings for all three of our liquid logistics businesses during 2024. Stolt Tankers continues to work on emissions reduction, achieving an AER for the year of 10.3%, good progress compared to last year's 10.7%, which is another step towards the IMO targets and our own 2030 ambition. The pace of change in the regulatory landscape on sustainability is swift. And we are currently focused on EU ETS implementation and setting ourselves up for CSRD compliance, which is relevant for our 2025 financial year. Now I will walk you through some key areas of our 2025 outlook. On the one hand, geopolitics is a driver of uncertainty, but the supply and demand fundamentals in our markets remain strong. On the demand side, we expect modest growth of global chemical production and ton miles of around 2%. On the supply side, the order book remains manageable with 2% net fleet growth expected in the coming two to three years. The big unknown we continue to monitor is the potential for swing tonnage to return to our market in a more meaningful way. So we see a limit in scrapping as a natural pressure valve to manage the supply side. While the outlook continues to be shaped by trade flow disruption and geopolitical uncertainty, we are confident that our fundamentals are in place across our businesses such that we are well positioned for the coming year. I'll now hand over to Jens for the financials.
Jens Grüner-Hegge: Thank you very much, Udo. And thank you very much for showing up to full house in Oslo. Good afternoon to everyone and good morning to those of you joining us from the United States. And just as a reminder, as I always do, that our quarters are a little bit skewed. So this fourth quarter runs from September 1 through November 30. I will compare the fourth quarter 2024 against the fourth quarter 2023. And also to reiterate what Udo emphasizes that this was a very strong quarter and a fantastic year that we have capped off now. And also this was our sixth consecutive quarter with EBITDA in excess of $200 million. The company is in a very strong position, and we have a strong balance sheet with a smooth debt maturity profile that I'll talk about a little bit later and significant further borrowing capacity, which is good because we also have ambitions for growth and are investing accordingly. So let's dive into the numbers. As mentioned by Udo, both revenue and OpEx were up compared to last year. The higher revenue was driven by a steady increase in revenue in both terminals in STC and in Stolt Sea Farm and this was partly offset by lower tanker revenue. Now if you take a closer look at the tanker revenue, deepsea revenue as you will note on the bullets there was down due to longer voyages causing a reduction in the overall volume even though we saw that freight rates were up fourth quarter versus fourth quarter last year. And also if you remember back in the fourth quarter of 2023, we announced the establishment of the SNAPS/ENEOS pool. And as part of that pool we are then recognizing the full revenue and the full OpEx of that pool as part of the accounting treatment. And that had an impact on the fourth quarter this year over last year of $17.4 million. And it had also a similar impact on the operating expense. So net-net this is pretty much in balance. Also if you look at other things that impact operating expense was an increase in the Tankers pool out expense. As we added pool partners in the prior year and also notable when you compare the fourth quarter 2023 versus 2024 is that you note that we had a $4.7 million freight tax credit in 2023, which was an income which we don’t have this quarter. Depreciation was down $1.1 million driven by sales of two ships, the Stolt Sisto and Stolt Facto during 2024. And it was partly offset by capitalization of additional time charter ships. And that’s as per the IFRS 16 rules and further investments that we had in other divisions. Moving to equity income. Equity income from joint ventures was down due to impairment that we noted at HiGas in Sardinia. This is a terminal we operate in there under the LNG business and losses that we had in Avenir and HiGas. A&G expense was down. That’s due to a reduction in profit sharing accruals as well as lower A&G cost and that’s driven by cost control measures that we’ve taken. Plus we also had the benefit of FX in that the dollar was stronger and we have a lot of A&G expenses in other currencies. For modeling purposes, if you look at – sorry, at the A&G run rate because I got a question from one of the analysts earlier today. There’s been a lot of volatility in A&G but for modeling purposes you can assume that we will have a run rate of about $70 million a quarter. Operating profit for the quarter was down by approximately $10 million with increases in Stolthaven Terminal, Stolt Tank Containers and Stolt Sea Farm offset by the impairment at HiGas and lower tanker operating profit. So just to further explain the tanker reduction, whereas the time starter equivalent per operating day was pretty much flat at just over $30,000 per day – at $30,185 to be exact compared to the same quarter last year. The reduction in operating profit for Tankers was due to an increase in OpEx. It’s caused by the higher fleet costs driven by more expensive time charters and the freight tax credit received in the fourth quarter of last year. So this explains why TCE was the same, but operating profit was lower. Net interest expense was marginally up, mostly reflecting increased average interest rates and other non-operating income was $8.9 million and that reflects dividends that we received from Odfjell and Golar. Also income tax expense was $16.5 million and that’s up from $13.6 million, also reflecting the higher results in the other divisions. So that brings us to the net profit which for the quarter was $91.4 million with EBITDA of $213.7 million and that’s only marginally down from last year. While the full year ended up with a net profit of $394.8 million and EBITDA of $842.3 million. So quite a strong year. Let’s have a look at the cash flow. It was another strong cash flow generating quarter. But let me first highlight when you compare the fourth quarter 2024 with fourth quarter 2023, 2023 reflects the receipt of $133 million in insurance receipts and that was related to the settlement of the MSC Flaminia incident, which hopefully we don’t have to talk more about. Net of this, the reduction in operating cash flow was only $6.1 million reflecting the reduction in operating results. Net cash generated from operations was down a further $2.4 million driven by an increase in taxes paid, which is in line with the increase that we also saw in the tax expense. Capital expenditures were $97.7 million. As we exercise a purchase option for the regional Brovig ships and continue to invest in both Stolthaven Terminals and Stolt Tank Containers. And the capital expenditures also include about $9 million spent on dry docking of ships. And just keep that in mind because when I show you the CapEx schedule on the subsequent slide, that $9 million is not in there. So it’s not a mistake. In addition, we invested about $7 million into our joint ventures that went to a terminal company in Turkey where we’re developing a terminal together with a partner. So total cash spent on investing activities was just over $100 million. We didn’t raise any financings during the quarter. If you recall, we did a significant financing as led by Julian in the third quarter of the year where we raised $450 million on the U.S. private placement has put us in a good position. So if you look at the total cash flow for the quarter was therefore flat but for the impact of FX of about $2 million. And we ended the quarter and year with a cash and cash equivalent balance of $334.7 million. That comes in addition on top of our committed credit lines. And that ties in with what Udo mentioned of total liquidity of $753 million available as of November 30th. If you look and that you see that at the bottom right, so it’s good to have that. You might question, why are we sitting with so much liquidity? But also as we will talk about we do have significant investment plans. And here you see our capital expenditures. The first four columns looking back by quarter of 2024, then you have the full year for 2024. The fourth quarter we spent $87 million, slightly below our earlier guidance of $102 million. And full year expenditure was therefore $245 million with the bulk of those investments falling into Tankers and Stolthaven Terminals. We have a few significant investments scheduled for the first quarter this year. As announced, we will be spending about $80 million on buying out our partners in Avenir and a potential further $10 million to buy out to remaining shareholders in Avenir and that will then potentially bring us up to 100%. Furthermore, as Udo announced, we’re buying out our partner in Hassel Shipping 4 scheduled to happen quite soon. And we will make an announcement when that has been completed. Moving to the balance sheet, here’s our debt maturity profile. With the refinancing of the major USPP facility that I mentioned, we have quite a steady profile going forward without any significant bumps in it. There’s no significant balloon payments until we get out to 2028 and that’s when the bond SNI10 matures, that’s with $138 million. And then thereafter in 2029, we have $155 million on the U.S. private placement secured by our New Orleans terminal. Also worth noting is that at the end of 2024, December 2024, actually in the 2025 fiscal year, and that is reflected here, we repaid $103 million of floating rate debt, which was very expensive and that has also contributed to bring down our debt levels further beyond what we are presenting here. And Julian had also been working hard at taking our existing credit facilities and extending them out because the market is willing to sort of look at longer maturities and that will help us also push out maturities, increase our borrowing capacity as well as reduce our financing cash flow. So all of that is going to help us going forward. If you look at the bottom left graph, you can see that the debt at the end of fourth quarter was slightly down. That reflects the $58 million that I mentioned earlier. And then we have a further reduction of the $103 million and average interest expense were pretty much flat. So going over to the covenants, the continued strong performance of the company has translated into good performance on the covenants. The top two are actually bank debt covenants. The top left showing a debt to tangible at net worth with debt down at 2.19 and equity or tangible net worth at 2.3, which improved the ratio to 0.94. The bottom right you have our EBITDA and it's a nice graph to show with all quarters above $200 million ending at $842 million. By the way, the difference between that number and the other number is the fish farm's fair value of biomass. It was $1 million. So again, it's just a slight different way of treating EBITDA in the covenants. But that has helped drive down the net debt to EBITDA to 2.2 [ph] as Udo mentioned and EBITDA to interest expense to 6.68 [ph]. And with that I would like to hand it back to Udo for the segment analysis of our business.
Udo Lange: Thank you so much, Jens. I'll now take you through the divisional highlights starting with Stolt Tankers on Page 17. Our Tankers division has continued to perform well compared to historical levels. Operating revenue for the quarter was level year-over- year and only 4% down on a strong Q3. This performance reflects lower deep-sea freight revenue driven by lower volumes, particularly in our contract trade, as well as a decrease in demurrage revenue. Lower volumes were offset by stronger freight rates and stable operating days resulting in a TCE rate of just slightly above $30,000 per day. Operating profit was $83 million with a decline on the year driven by the reduction in deep-sea revenue and costs relating to new vessel time charters. There was also a one-off gain the prior year as a result of a freight tax credit as mentioned by Jens. The consolidation of the SNAPS pool impacts here too. We have the positive impact of the SNAPS consolidation within the revenue line and we also recognize all the expenses here too. On a like-for-like accounting basis, operating expenses would have been flat. Overall, our Tanker division has delivered a sustained strong performance in the fourth quarter, consolidating an exceptional year. The team have been committed and agile while working through significant uncertainties in a rapidly shifting market environment. And I commend Maren and her team to their excellent contribution to the group's results. Taking an in-depth look at rates now. We are pleased to have achieved a TCE per operating day of over $30,000 again this quarter level with the rates achieved at the same time last year. Overall, the TCE iterate remains well above the historical norms as you can see from the chart. We have now concluded the lion's share of our COA renewals and we saw COAs renewed at an average rate increase of 1.5% during the quarter. In the spot markets, we've seen a general mute development of rates during the winter. Based on voyages completed or underway in the quarter, we expect the TCE for Q1 to remain at a high level, albeit lower by between 7.5% or up to 10%. However, it should be emphasized that due to this increased volatility and the uncertain geopolitical backdrop, any predictions made based on this information can quickly change as the markets evolve. As a reminder to our analysts, a $1,000 swing in the TCE impacts quarterly net profit by approximately $6 million. Also, during February we expect to complete the purchase of the remaining 50% of the Hassel 4 joint venture. This will bring eighth C33s onto our balance sheet resulting in a positive impact on future earnings with full effect in the second quarter. Moving on to Stolthaven Terminal. Year-on-year, performance across both revenue and operating profit has been strong with revenue up 2% and operating profit also marginally up as we pursue continued storage rate improvements. Partly offsetting the strong margin development was lower utilization levels. As a reminder, we are focusing on replacing lower margin contracts to optimize our portfolio. Utilization for the quarter was 90.9%, an increase from 90% last quarter. We are focused on improving overall utilization through 2025 towards the level seen in the prior year with a corresponding flow through into earnings. EBITDA was marginally down for the quarter, however results were negatively impacted by $1.2 million of one-off costs. On a like-for-like basis, EBITDA increased 2.3% year-over-year and 0.5% versus Q3. Thanks to Guy and his team for the strong focus and margin improvement on cost control. Higher margin business is driving increased rates, which provides a solid foundation to drive earnings growth via utilization increases. STC's strong volume developments during the first half of 2024 allowed for balancing of volumes and margins into Q4. Revenues increased 8% year-over-year as space constraints were driving up rates and offsetting a decline in shipment volume. It's exciting to see that STC's EBITDA has improved year-over-year and over last quarter. Operating profits saw a stronger increase as liner space constraints, particularly out of Asia, increased transportation margins. This is a strong result in a difficult market environment and I commend Hans and his team for achieving their highest ever number shipments in 2024 and for dedication to pursuing opportunities, which have supported this performance. Finally turning to Stolt Sea Farm. Jordi and his team here have delivered exceptionally strong results on our key metrics. Operating revenue was up 15% versus the same quarter last year with strong volumes and prices for both species also supporting the delivery of a strong operating profit, up 45% year-over-year. Looking ahead, December is the usual peak of demand for Christmas and we saw strong December sales and margin performance, which positions us well on inventory for the remainder of Q1. Looking forward, we continue to believe that the market fundamentals remain supportive for our business, with supply and demand broadly in balance. Industry analysts continue to expect modest growth in Siebel [ph] Chemicals trade of around 2% in 2025, benefiting our liquid logistics operation. As a leading operator of chemical tankers, a global provider of safe storage services for bulk liquids and a leading provider of ISO tank containers, we are well positioned to navigate ongoing supply chain complexities. We closely monitor MR rates and any corresponding impact on swing tonnage volumes with recent U.S. sanctions on the dark fleet potentially being supportive to our segment. New build ordering is ticking up slightly, but continues to be manageable, currently standing at around 13% of the global fleet and we continue to expect muted net supply growth for at least the next few years. In addition, as you can see at the bottom hand left hand chart, a significant percentage of the global fleet can be easily retired, with around 14% of stainless steel tankers aged 25 years and older in 2027. This means there's an ability for asset owners to significantly reduce supply in case of a market downturn. Looking now at the wider macro picture. As you know, there are a number of known unknowns driving the VUCA world. It is always tricky to provide clarity on outlook. And today's heightened uncertainties make it even more challenging. We spent much of 2024 reacting to the impact of geopolitical events including the Red Sea developments. How these play out in 2025 will have an impact on global trade flows. Additionally, we have elevated risks and opportunities of tariffs and sanctions, uncertain demand from China, uncertainties around how Western governments will deal with the shadow fleet impact and crude oil market fluctuations all to contend with. We are watching these closely to ensure we can plan for likely outcomes and be agile to react to events. Our key focus though is on ensuring we are well positioned operationally and strategically to be successful despite these uncertainties and crucially to work together with our customers as they face these same issues. We believe our most important differentiator here is our flexibility. We hear directly from customers how much they value this and how our agility and innovative thinking and willingness to flex supports them to achieve their goals in difficult to navigate market conditions. This approach means Stolt-Nielsen and our customers can win together. In conclusion, we believe we are well positioned in the current market. At Stolt Tankers, we do expect a softening in rates in Q1, but strategic investments in our fleet will act as an offset. Notwithstanding seasonal fluctuations, we expect TCE per day to remain at resilient levels compared to historical norms. At Stolthaven Terminals, improved utilization on higher margin business should see earnings continue to improve. At STC, we expect steady performance delivered through balancing margins and volumes. And at Stolt Sea Farm, the current strong pricing and volume trend is expected to continue heading into 2025. We have strategic investments underway across each of our divisions and within our Stolt Investment portfolio. We remain disciplined in our investments and are seeking to balance attractive earnings growth and shareholder returns. Obviously, we also don't have a crystal ball. A material shift in the geopolitical landscape and the other uncertainties we discussed earlier could impact our earnings either way. But fundamentally, in a year of expected high uncertainty, we feel well positioned. Thank you for your attention. And I will now pass you back to Alex as we open up for questions.
Alex Ng: Thank you very much, Udo. We'll now open for questions. First, we'll take some questions from the floor, and then we'll go to the online platform. So whilst [indiscernible] get set, I'll look towards our audience to see if people have any questions, and then I'll pass you the microphone. Do we have any questions?
Q - Unidentified Analyst: Okay. Petra Eugen, ABG [ph]. One very concrete question to start with. The shipments installed container – tank containers declined now for the 2nd consecutive quarter. Is there anything more to be said about that or?
Udo Lange: No. I think what we are doing is really, as we said in the recent quarters, we are optimizing margin and volume. And as you see, the strategy is paying off because our earnings are actually improving. So we really have a strategy where we say we want to get the right volume into our business and that drive overall earnings. We could easily grow by far more volume, but it will not be good for our earnings. So we are driving an earnings focused strategy here.
Unidentified Analyst: Sounds wise. Thank you. So another question then relating to dividends. You sort of have this sort of, well, weird policy of announcing dividends now in the coming weeks. But how do you – when you communicate with your board, argue for dividends versus other purposes of using what has been fantastic cash generation for some time now?
Udo Lange: Yes, of course, we look at all the options of capital allocation. And I think what we are seeing in our business, we see continued great opportunities to invest in the business and really with that drive long term earning growth. And so that's always what we balance. But of course, our core priority to run a business is that we have an even more successful business in future. But of course, we also want to pay good dividends to our shareholders. So we are seen as an attractive investment. Jens, anything to add there?
Jens Grüner-Hegge: No. I think you captured it. It's we have been relatively stable in the past, and I think the market has been able to expect what we are typically paying in dividends. We mentioned here, yes, we do have good liquidity, but the focus is really on capitalizing on certain opportunities that we see to grow the business as well. So it's going to be a balance with that, but, yes.
Unidentified Analyst: Okay. Thank you.
Udo Lange: Thanks Petra [ph].
Alex Ng: Thank you. Any – next question in the room? Anybody else? Okay. Then we will then move to questions on the Internet. So first question we have is in relation to our investment Jens [ph]. And that question is, you mentioned the increase in CapEx for 2025. Can you talk a bit to the contribution to 2025 earnings that will come from HS4 and Avenir?
Udo Lange: So yes, it's interesting because we are taking over now 100% ownership of or Avenir, we're on route to take over 100% ownership. And also shipping, we are taking over 100% ownership. The difference here means that we will consolidate both of them onto our balance sheet and into our earnings. And that means instead of just getting the JV equity income, we're actually now taking the full EBITDA onto our income statement. You should probably, you can expect somewhere between sort of $50 million, $55 million contribution from those two combined in 2025. So it's going to help when you look at your model, it's not just modeling the existing businesses, but also take this into consideration for 2025.
Alex Ng: Thank you, Jens. We have another question in relation to Avenir and maybe one for Udo, but how does the transaction impact Avenir’s LNG's growth plans going forward?
Udo Lange: So I think you probably remember when I joined, we talked at the time already that we are looking at Stolt-Nielsen Gas. We are invested in this segment since 2007 and we really want to find a new strategy for our Avenir business. And what we did at the time is we first restructured the business, then we created two different platforms. So we have a high customer in Sardinia on the one side, which is a separate business now continue to be owned by the three shareholders. And then we have now Avenir Shipping, which is then part of Stolt-Nielsen where we are now aiming to get 100%. And yep, we have five ships, we have a platform there. We have two very attractive new builds on order. So if you then see just take the last year and just look at container lines where maybe two years ago it was more heavy on methanol and ammonia. And most recently many, many large players are actually shifting and their orders are dual fuel on LNG. So we have a leading, market leading platform there and we believe there's ample opportunity to grow and consolidate in the segment. And we are super excited about this move and I think it fits perfectly into our portfolio where we have our liquid logistics businesses, we have our land-based agriculture where we've Stolt-Nielsen Gas and then we have the venture investments.
Alex Ng: Okay, thank you very much, Udo. Just a more analytical question relating to Avenir in relation to how much debt and committed CapEx does Avenir LNG have? Maybe I can just take that one. So Udo mentioned that we have two new build vessels there. Each vessel is just north of $80 million each. There has been a deposit paid of around $25 million already. So there's remaining CapEx to be executed prior to delivery in end 2026 and early 2027. The existing debt on the balance sheet is around $135 million and there's an expectation that we'll be funding part of that new builds with new debt. And whilst the debt markets are very favorable for this type of investment, I think we'll try to be relatively conservative. So some somewhere in the region between 70% and 80% might be a reasonable landing place for that debt. So hopefully it covers that question. Next question is in relation to tankers CapEx for Jens. And so what is the reason for the significant increase in tankers CapEx in this presentation compared to the Q3 presentation in 2025?
Jens Grüner-Hegge: Assuming that is referring to 2025 over 2024. So as mentioned we are buying up 100% of Hassel Shipping 4. That is a first quarter investment. We also have progress payments on new buildings. We announced last year that we had six orders from Wuhu Shipyard in China and another six orders from Nantong. And this also then includes equity injections into a joint venture with NYK that will take six of those ships. And yes, in addition to that we have approved projects that we're still working on that will be announced later in 2025. But there is a good amount of opportunity that we see in tankers.
Alex Ng: Thank you. Another question relating to Avenir for you maybe, Udo, can you please elaborate a bit more on the investment case for Avenir, which you've already talked about largely. But how does the capital allocation and target IRR really match up versus the rest of the business.
Udo Lange: Yes. So of course, we are doing this to enhance overall return on investment for our company. So of course, as you know, we are not providing per segment the details, but this looked nicely in comparison to our other segments and we believe this business will have a nice runway and will overall be accretive for Stolt-Nielsen.
Alex Ng: Thank you. We have two more questions, so if anyone else wants to add a question, please do so now. One of those questions is in relation to dividends and the prospect of dividends in the future, but I think we've already covered that. Then the final question we have is in relation to the fleet lists and the additions of the Bochem and SFL ships. I think just to answer that, we have nine ships with Bochem. The most recent ones are the 25s and we have two SFL ships as well. We took all of the ships, the six and the two during 2024. So there's no other additions from those two counterparties planned for 2025 as of today.
Udo Lange: Yes, maybe. To add to that, I think why we have been successful and I think we also feel very positive about our future for the tanker business is really our asset strategy, because I think we have a good mix where we on the one hand go into new builds, but if you go recent years, we also were able to scoop up a significant amount of ships in the second hand market. So we are constantly doing that. Hopefully there are better opportunities going forward there as well. Then we are really happy about the partnerships that Alex laid out. And then we have time charters and we have also really good pool partners. And what we're doing is really take the whole geopolitical environment and the market and then look at our asset mix and say, what is our best asset strategy in this environment. And we feel we are on a very good road there, which will make us long term successful.
Alex Ng: Okay, thank you very much for those questions. So just a reminder that we'll make a recording of this call and it will be available on our website from tomorrow. With that, I'll pass you to Udo for some final closing remarks.
Udo Lange: Yes, really thank you for joining us today here and of course around the world as well. And I really look forward to talking to you again when we present our results for the first quarter of 2025. I think a lot will probably have happened between this day and then and will be anybody's guess what it could all be. But I think this will be very informative for us then and see you then and wish you all a wonderful day.